Operator: Hello, and welcome to the Reinsurance Group of America's fourth quarter 2024 earnings conference call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. As a reminder, I would now like to hand the call to Jeffrey Hopson, Head of Investor Relations. Please go ahead.
Jeffrey Hopson: Thank you. Welcome to RGA's fourth quarter 2024 conference. Joined on the call this morning with Tony Cheng, RGA's President and CEO, Axel Andre, Chief Financial Officer, Leslie Barbi, Chief Investment Officer, and Jonathan Porter, Chief Risk Officer. A quick reminder before we get started regarding forward-looking information and non-GAAP financial measures. Some of our comments or answers to your questions may contain forward-looking statements. Actual results could differ materially from expected results. Please refer to the earnings release we issued yesterday for a list of important factors that could cause actual results to differ from expected results. Additionally, during the course of this call, the information we provide may include non-GAAP financial measures. Please see our earnings release, earnings presentation, and quarterly financial supplement, all of which are posted on our website, for discussion of these terms and reconciliations to GAAP measures. Throughout the call, we will be referencing slides from the earnings presentation, which again is posted on our website. Now I'll turn the call over to Tony for his comments.
Tony Cheng: Good morning, everyone, and thank you for joining our call. Last night, we reported adjusted operating earnings of $4.99 per share. Our adjusted operating return on equity, excluding notable items, for the past year was 15.4%. The fourth quarter capped off a great year for RGA as we delivered record operating earnings and many other achievements across our organization. In the quarter, our Inforce transactions were solid, at $250 million of capital deployed, and this was accompanied by continued strong momentum in organic business activity in all our key markets around the world. We once again successfully executed our balance sheet optimization strategy with various in-force actions. These actions resulted in not only favorable near-term results and continued long-term financial benefits but also simultaneously reduced the risk for RGA. Such actions are very much part of our business strategy, although lumpy in their nature. For the full year, we deployed just shy of $1.7 billion into transactions, which far exceeded any other year in RGA's history. Moreover, we enter 2025 with a robust pipeline and are excited about our business prospects across the globe. This strong and sustainable business momentum is a result of the RGA strategic platform and demonstrated discipline that we exhibit in both risk management and capital deployment. Based upon the strong quarterly and annual results, and our confidence in the strong fundamentals of our business, we have increased our intermediate-term operating ROE target to 13% to 15%, up from the previous 12% to 14%. In addition, we have raised our targets for earnings run rate and reaffirmed our 8% to 10% intermediate-term growth target on this higher run rate. Let me now provide further details of some of our new business activities in the quarter focused on our four areas of notable growth. Commencing with our Asia traditional business, we have previously shared a number of important transactions where we play to our strength and our ability to reassure both the asset and biometric sides of the balance sheet. This has been predominantly in Hong Kong, where we first established our strong product development capabilities. In Q4 2024, we extended this with four important transactions in Mainland China that generated a meaningful value uplift. These transactions not only help our clients improve their asset liability profiles but also optimize our own ALM profile, providing further diversification for RGA. This is a great example of how our teams are finding creative ways to produce new opportunities to help our clients generate additional value for RGA whilst reducing our risk profile at the same time. In our second area of notable growth, US traditional, the fourth quarter was another good quarter for new business after a very strong Q3 as the US market is presenting increasingly attractive opportunities that align with RGA's underwriting strength, complemented by the increasing use of technology and data. In addition, as previously reported, we closed the transaction with a key global client that included LTC and a block of structured settlements at an attractive risk return. The block of LTC represented less than 2% of RGA's total liabilities existing LTC in-force block that has performed strongly for many years. Our third area of notable growth is the PRT and the longevity market. In the US PRT market, we completed a small transaction this quarter. The pipeline remains strong, and we are optimistic about our prospects going forward. In the UK, we had a very active quarter to close out a record year as we completed a number of strategic transactions leveraging the strength of our client relationships. This included another large UK director plan longevity swap where the client valued RGA's execution certainty. With this strong quarter, we surpassed 2023's new business performance, which was a record year for RGA. Finally, in Canada, we closed our first funded reinsurance PRT transaction, which was done with a strategic partner. We have done a few longevity swap reinsurance deals over the years, but this was the first deal where we reinsure risk from both sides of the balance sheet to bring new solutions to the market. Every dollar of longevity risk has the potential to diversify the overall risk of RGA given our substantial mortality business. Just like the earlier examples from China, we can generate profitable business and diversify our risk at the same time. Our final area of notable growth is in our Asia asset-intensive business, where we completed a modest number of transactions to cap off a great year. In Japan, we finalized a landmark transaction with one of our key global clients. This is a material biometric asset-intensive opportunity with an initial reserve of about $200 million. This once again demonstrates our ability to ensure both sides of the balance sheet. As you can see in each example, in all four areas of notable growth, we have been successful in winning exclusive transactions in our sweet spot. That is, we are able to combine our strong local market presence, biometric capabilities, asset management platform, and ability to reinsure both sides of the balance sheet for key clients around the globe. These are very much examples of what we call creation redeals. These transactions create greater value for RGA and its clients and lead to a virtuous cycle of repeat deals within the same market or in other markets around the vast RGA network. This strategy is now fully being executed. This quarter and for the past two years, we are proud to say that the majority of the new business in better value comes from creation redeals. As previously mentioned, in addition to new business, we are able to enhance ROE and earnings through our balance sheet optimization strategy. This quarter, we completed another enforced management action, which resulted in a client recapturing several blocks from the 1999-2004 era, reducing our exposure to this underperforming period. Just like the Chinese new business and the longevity transactions, this is yet another example of where we can create financial value and simultaneously diversify our enterprise risk. As I step back and review the full year's results, it was a tremendous year from both a financial and strategic perspective. Record operating EPS of $22.57 per share, up 14% from a strong 2023. Record capital deployment into transactions of $1.7 billion, up 80% from 2023. Record balance sheet optimization delivering $2.1 billion of long-term value. Record new business value up 70% from 2023 driven by creation redeals. To put a finer point on how historic 2024 was in terms of business activity, we completed the first, third, and fourth largest transactions in our history. Finally, we were able to deliver this success and business performance at an ROE for 2025 of 15.4%, which is above our intermediate target range. I am most proud of many things at RGA, but I am most proud of the fact that everything we do at RGA is with a disciplined and balanced approach. We are not only about growth and winning new business, but just as much about being disciplined and patient for the right risk-return trade-off. We are not only focused on the US, but also just as focused on Asia and EMEA, which represents over 50% of our earnings. We are not only about biometric risk, but as adept in reinsuring the asset side of the balance sheet. We achieve this balance by having an environment for an entrepreneurial spirit to flourish, but also instilling in each of our associates the vital importance of discipline and strong technical expertise. The true heart of the organization is that we are a group of risk managers focused on only one thing, which is life and health risk. By continuing to execute this proven formula for over 50 years, we have substantially grown our book value per share and have been able to raise ROE and earnings targets in each of the past two years. Therefore, no matter how proud I am of what we achieved in 2024, I am fully confident that the best is yet to come. I will now turn it over to our CFO, Axel Andre, to discuss the financial results in more detail.
Axel Andre: Thank you, Tony. RGA reported pretax adjusted operating income of $431 million for the quarter, or $4.99 per share after tax. For the trailing twelve months, adjusted operating return on equity, excluding notable items, was 15.4%. We delivered solid overall results for the quarter and excellent results for the year. During 2024, we added significantly to the long-term value of our business, which adds recurring earnings, and we continue to execute on our strategic initiatives. We deployed $250 million into in-force transactions in the quarter and nearly $1.7 billion for the full year. Also, our internal measure of new business value added was very strong for the quarter and an all-time high for the year. Reported premiums were up 1.2% for the quarter relative to the fourth quarter of 2023. However, adjusting for US PRT transactions, which can cause premiums to fluctuate, total premiums were up 11%. Traditional business premium growth was 9.5% for the quarter and 8.3% year-to-date on a constant currency basis. Premiums are a good indicator of the ongoing strength of traditional business, and we continue to have good momentum across our regions. The effective tax rate for the quarter was 22.5% on pretax adjusted operating income, below the expected range primarily related to the release of valuation allowances in non-US jurisdictions. Our in-force management actions in the US this quarter again had a favorable impact on results and a positive impact on the future in terms of risk reduction and volatility in earnings. The positive impact in the quarter was approximately $84 million. In the quarter, we trued up accruals for incentive compensation to reflect the strong full-year financial performance and the very strong new business value for the year. The total true-up in the quarter was $42 million across the organization, impacting the business segments, corporate, and investment expenses. Variable investment income was positive, but moderately below our plan. Overall, when adjusting for the non-recurring items I just mentioned, and the financial impact of the biometric claims experience, which was unfavorable $58 million from an accounting perspective, the quarterly results were in line with our expectations. Moving on to our updated financial targets. As detailed on Slide 20 of our earnings presentation, we have updated our financial targets, which include higher current run rates and increased intermediate-term adjusted operating ROE target. There are several favorable dynamics driving the increase since our last update a year ago. We have added significant new business at attractive returns, which is expected to materially contribute to future earnings. Additionally, we are seeing the incremental benefits from higher interest rates on new investments and from our continued portfolio repositioning efforts. Lastly, the cumulative impacts of our ongoing balance sheet optimization and other management actions are having a positive impact on run rate earnings. I'll highlight a few segments to provide additional perspective. First, our Asia traditional and financial solutions businesses continue to achieve significant growth at attractive margins. We expect the recent success to materially contribute to earnings going forward and believe the recent momentum will continue. Next, the updated US traditional run rates reflect the positive deal activity impact from management actions and runoff of lower margin businesses. While it's difficult to predict the timing and size of enforced management actions, we expect them to remain a core part of our strategy and contribute favorably to earnings. Moving to US Financial Solutions, where we have reset our expectations and adjusted the run rate to capture the current interest rate environment. The primary driver of the decline is the runoff in our existing annuity business. While we continue to win our share of new business, particularly in the US PRT markets, the earnings emergence is a bit slower compared to the runoff. However, we expect contributions from new business to increase as portfolios are repositioned and returns from alternative investments emerge. For EMEA, we expect our traditional segments to benefit from our strategic shift from lower margin short-term business to longer-term higher margin business. The increase in EMEA Financial Solutions run rates reflects our continued growth and success in the region's longevity market. Moving on to the value of in-force. The value of our in-force business margins, as highlighted on Slide 19, increased by $4.6 billion or around 14% for the year. Driven primarily by new business contributions of $4.8 billion with strong contributions from both our traditional and financial solutions businesses. Also, the assumption changes related to the retro recapture contributed $1.5 billion and other management actions contributed $600 million. These were partially offset by $1.1 billion in unfavorable currency impacts towards the end of the year and $1 billion in expected margin runoff. Excluding the impact of FX, the value increased 17% for the year. For the quarter, the value remained relatively flat as new business contributions and management actions of $100 million were offset by the unfavorable FX impacts I just mentioned. Deployable capital. As discussed last quarter, we have reevaluated how we view available capital to better account for the multiple frameworks we manage, including regulatory and rating agency requirements. Going forward, we will no longer provide a point-in-time view of excess capital. Instead, we will disclose our preferred metric of deployable capital, which stands at $1.7 billion at the end of the year. This metric represents management's estimate of capital above our targeted level of excess capital, available for deployment into transactions or available to return to shareholders over the next twelve months. This improved view considers our point-in-time existing capital position relative to the capital frameworks as a starting point as well as management's estimate of capital generation and consumption over a rolling twelve-month period. Examples of capital sources include retained earnings, credit for the value of our in-force business, and other alternative sources of capital such as Ruby Re and strategic retrocession. Capital users include committed capital on flow reinsurance transactions, transactions we have signed but not yet closed, shareholder dividends, and other holding company capital uses. We believe the transition from a point-in-time view to a forward-looking approach provides a better view of our capacity to maintain our current levels of capital deployment and ability to fund future business growth. Finally, before turning to the quarterly segment results, I would like to speak to Slide 9. This displays the total company claims experience and the related financial statement impact. Biometric experience, which includes mortality, mobility, and longevity, was unfavorable by $52 million on an underlying claims experience basis. The corresponding financial impact was $58 million unfavorable. We believe these results are primarily the product of normal volatility and do not indicate any material trends. While claims experience can be volatile, I want to point you towards the year-to-date figure that shows significant favorable underlying claims experience driven by experience in the US, EMEA, and APAC, and modestly negative in Canada. The comparable financial impact for the year was a slight negative. As favorable performance in uncapped cohorts will get smoothed into the future, while the unfavorable performance in capped and floored cohorts was recognized immediately. These results are consistent with 2023 claims experience, where underlying claims experience was favorable, but the financial impact was relatively small. Turning to the quarterly segment results starting on Slide 7. The US and Latin America traditional results reflected a favorable enforcement action, partially offset by unfavorable group medical claims. For the full year, individual life mortality experience was positive on both an economic and financial statement basis. The US Financial Solutions results were below expectation due to the combined runoff of existing annuity business and the earnings emergence from new transactions. Canada traditional results reflected modestly unfavorable experience due to adverse large claims experience mostly offset by favorable experience in group business. For the year, underwriting experience was modestly unfavorable on both an economic and financial statement impact. The financial solutions results in Canada were in line with expectations. Moving on to EMEA. In EMEA, the traditional results reflected modestly unfavorable claims experience, partially offset by higher fee income from a treaty recapture. The underwriting results on an economic basis were close to breakeven, while the financial statement impact reflected negative experience in floored cohorts. For the full year, the economic underwriting experience was favorable, the financial impact was negative, again, based on LDTI cohorting. EMEA's financial solutions results were above expectations reflecting strong new business, favorable longevity experience, and higher investment margins. Turning to our Asia Pacific region. The traditional results were below expectations primarily reflecting adverse high net worth claims on fraud contracts. Overall, underwriting experience was favorable on an economic basis. But the bottom line impact reflected those large claims in floored cohorts. For the full year, underwriting results on an economic basis were highly favorable. However, only a minimal positive current year impact due to LDTI cohort. Financial Solutions results were solid in APAC, reflecting favorable overall experience partially offset by lower variable investment income. Finally, the corporate and other segments reported an adjusted operating loss before tax of $71 million, unfavorable compared to the expected quarterly average run rate primarily due to higher general expenses, including the incentive compensation accruals that I mentioned earlier. Moving to investments on Slides 11 through 14. The non-spread portfolio yield for the quarter was 4.83%, down slightly from the last quarter, primarily reflecting higher incentive compensation accrual true-ups as well as lower variable investment income, partially offset by the contribution from new money yields exceeding the portfolio yield. If not for the compensation accrued adjustments in the quarter, the earned rate excluding the II would have increased versus the third quarter. For non-spread business, our new money rate was 6.04%, which was up from the third quarter and well above the current portfolio yield. Credit impairments were minimal, and we believe the portfolio remains well-positioned. Related to capital management, as shown on Slides 15 through 17, our capital and liquidity positions remain strong. And as mentioned earlier, we ended the quarter with deployable capital of approximately $1.7 billion. We had another good quarter of capital deployed into in-force transactions across multiple geographies. Additionally, there was more good news related to Ruby Re, following the successful closing of the final capital raise, we completed an additional retrocession of US asset-intensive liabilities to Ruby in the fourth quarter. During the quarter, we continued our long track record of increasing book value per share. As shown on Slide 18, our book value per share excluding AOCI and impacts from B36 embedded derivatives increased to $151.97, which represents a compounded annual growth rate of 9.9% since the beginning of 2021. To summarize, 2024 was a great year for RGA. We continue to see very good opportunities across our geographies and business lines, and we are well-positioned to execute on our strategic plan. With that, I would like to take a moment to thank everyone for your continued interest in RGA. This concludes our prepared remarks, and we would like to now open the call for questions.
Operator: Thank you. We will now begin the question and answer session. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star. In the interest of time, we ask that analysts limit themselves to one question and one follow-up. We will pause momentarily to assemble our roster. Today's first question comes from Wilma Burdis with Raymond James. Please go ahead.
Wilma Burdis: Hi. Good morning. Could you talk about the difference between the economic and financial impacts of the biometric experience and over what time frame do you think the $167 million of favorable biometric experience from 2024 to closing earnings? Thanks.
Axel Andre: Sure. I can get started and if, Jonathan, you have anything to add, please go ahead. Thank you, Wilma, for the question. Typically, the way we think about it, the economic impact gets summarized ultimately through the accounting results essentially over the life of the business. So if you think, probably around a fifteen years plus period, would be the period of time over which you would amortize that economic claims experience that hasn't yet flown through the accounting results.
Wilma Burdis: Okay. And then could you just talk a little bit about some potential run rate improvements as you guys reposition a lot of the assets that you've recently acquired in the financial solutions business? Thanks.
Axel Andre: Just on a quarter-to-quarter basis would be very helpful. Thanks.
Axel Andre: Sure. So for the US Financial Solutions business, as I mentioned, we've got kind of the old annuity business that is running off and then what we're adding in terms of new business, you know, a number of different asset-intensive and US PRT business. As we take on those transactions, typically, we take on a large portfolio and then we reposition this portfolio over a period of time towards the strategic asset allocation that makes sense for that business. And that can take some time for those assets to be originated and for the full run rate of investment income essentially to be delivered. I think we have messaged in the past that up to twelve to eighteen months is the period of time that it may take to get to that full run rate.
Operator: Thank you. The next question comes from Ryan Krueger with KBW. Please go ahead.
Ryan Krueger: Hey. Thanks. Good morning. Question on the deployable capital definition. I guess maybe just as a starting point, I just wanted to confirm that the rating agencies have all signed off on this approach given it's maybe slightly different than what we're used to and that you truly believe that you could deploy all of that $1.7 billion and the rating agencies would view that as acceptable for your rating.
Axel Andre: Thanks, Ryan, for the question. Yes. So this deployable capital metric does incorporate both the regular, you know, the three frameworks, the regulatory capital, rating agency, and our internal economic capital framework. From the rating agency component of that, as mentioned in some of the capital sources that we have planned for over the next twelve months are the recognition of the value of enforceable business. We do that based on a track record of gaining that recognition from rating agencies, and we only put an amount in there that corresponds to what we have high confidence over that twelve-month period.
Ryan Krueger: Okay. Got it. And then on the run rates, I don't expect you to give us an exact number here, but I guess you've had very, very significant capital deployed in 2024 into enforced deals. I guess any sense of kind of something a sense of how much you assumed would happen in those run rates? Or I'm just trying to understand kind of if you've already projected a pretty healthy amount of deal activity or if the outlook in the pipeline might suggest upside if those come to fruition.
Axel Andre: Sure. So the run rates reflect two things. Right? So the run rates reflect number one, the significant new business momentum and in-force management actions that we mentioned. So during the course of really the last half of 2023 and 2024. So all of those new deals, of course, add to the run rate of earnings. In addition to that, some of the in-force actions that we talked about. So we talked about the virus recapture of treaties, which at times can result in an improvement to the run rate of earnings. We talked about the retrocession, the retro recapture, which leads to a significant improvement in the run rate of earnings over a long period of time. So all of those things factor in. That's one. Second, from that point, from those run rates, which represent really the 2025 run rate, we have growth of 8% to 10% on top of that. That growth comes from assumptions about the volume of new business that we will acquire. And essentially, we're assuming volumes of new business that are consistent with our recent business momentum.
Ryan Krueger: Thank you.
Operator: The next question comes from John Barnidge with Piper Sandler. Please go ahead.
John Barnidge: Good morning. Thanks for the opportunity. I'd like to spend some time to kind of being educated on the value of in-force. Can you talk a bit about how we should think that rolling through to durable earnings power not yet well understood by the market, so love to hear more about that. Thank you.
Axel Andre: Sure. The value of in-force fundamentally represents the present value of underwriting margins and investment margins over the life of the business. So it's essentially the present value of those profits. As we mentioned, an example of how there can be quite a big difference between that present value metric and the actual run rate of earnings. If you recall last quarter when we talked about the retro recapture, we mentioned that that would increase the value metric by $1.5 billion. Why from a run rate earnings perspective, it would impact 2025 by $20 million, ramping up to $40 million by 2030, and then ramping up further to $60 million by 2040. So, obviously, very long duration of earnings, but that business is very long term. So when present value, it does create a large value. So I think there's a relatively level of consistency between the amount of capital that we deploy, the amount of value of in-force that generates that new business adds onto the balance sheet, and then ultimately the earnings that it produces over a long period of time.
John Barnidge: Yeah. John, just to let me add. I mean, as the question and the answer, obviously, it is a communication of future profit. It's also, obviously, future profit is a form of capital. And as Axel mentioned, when we do sort of this value of in-force calculations, rating agencies do sort of accept and appreciate that to some proportion.
John Barnidge: Thank you. And my follow-up question on PACT Capital. You talked about twelve to eighteen months as a period of time, I think, to reach full run rate earnings. What's the capacity there? And does that increase your confidence and ability to reposition transactions at that expected pace? Thank you.
Leslie Barbi: Thanks. It's Leslie. I don't think we made any comment about PACT of twelve to eighteen months. But more generally, we have a very broad asset completion platform. It's really a strong competitive edge for RGA. We have a broad variety of both public and private asset types, private asset types we've been building out over twenty years. What we want for RGA is to make sure we have the very best and widest opportunity set. So we have always used outside partners as sourcing. One of the that could just be your traditional kind of external manager relationship, but another sleeve of that broad platform is the strategic partnerships. So PACT is one of those, and certainly, that is a newer company, but with a very well-known player in this GP stakes area. So it's another asset type for us. I think it'll broaden our network. So we're very pleased about that and is one of many things that are helping us continue to scale our asset platform. So we have a very broad variety of private asset typing. And there's a balance. When we say some transactions can take up to eighteen months, and that doesn't mean there's tons of things left to reposition at eighteen months. But I think, you know, we like to quote the broader range. But, certainly, you know, we are focused on making sure we can be as timely as possible in getting transactions to their full earnings. So that's something we'll be focused on.
John Barnidge: Thanks.
Operator: Thank you. The next question is from Wes Carmichael with Autonomous Research. Please go ahead.
Wesley Carmichael: Hey, thanks. Good morning. I just wanted to ask a broader one on capital deployment in looking forward, I guess, so you obviously did the LTC instruction settlement deal. Continue to deploy capital at a pretty rapid pace. But as you look forward, Tony, where do you see maybe the best deployment opportunities for 2025?
Tony Cheng: Yeah. Thanks, Wes. So the question, look, it really is across the three regions. So Asia, EMEA, and the US. You know, all three are thriving for different reasons. You know, you'll see in the US, you know, the activity is very strong. You know, we're probably seeing, you know, obviously, block transactions have been increasing over the last five years. We're probably seeing a shift more towards our sweet spot of asset deals with biometric type risk. So that's incredibly positive in terms of an environment. Asia, both our traditional and financial solutions type businesses are fully thriving. Testimony to our brand, there for many, many years over two or three decades now, as well as our worldwide capabilities in doing this type of business. And once again, our sweet spot and where we focus in Asia is very much the asset deals that have the biometric. You know, there are a fair amount of asset deals that really don't have much biometric risk. I can't say we're particularly active in that space given, you know, the potentially thin margins there. And finally, Europe, it is around, obviously, the longevity business that's predominantly in the UK. We have a very strong market share there. And it's built based on a phenomenally strong team, the strong relationships. And once again, the execution certainty. So that's predominantly in the UK. We're starting to see that broaden. You know, Netherlands is somewhere we've done transactions in the past. There's a lot of regulatory change that could be stimulating further opportunities. We're also seeing some, what we call, solvency two type solutions around the continent. That are quite attractive. So I wish I could pinpoint one region, but it really is across the board that we're seeing a lot of energy and excitement fueling the pipeline.
Wesley Carmichael: That's helpful. Thank you. And my follow-up, I guess, was on pension risk transfer, and I think you mentioned this in your prepared remarks as a good growth opportunity. But you know, I wanted to touch on there's been recent lawsuits against plan sponsors that transacted in the market and more recently against when they transacted with you and Prudential. So you talk about the potential impacts of litigation on the market maybe longer term and how you're seeing that in the pipeline? Because I imagine it's a very least planned plan. I just have to think about factoring in potential litigation into pricing, but curious if you have a different view there.
Tony Cheng: Sure. No. Thank you for the question. I appreciate it. Look. Even though we weren't named, obviously, in the lawsuit, we do believe the claims are baseless. You know, and just speaking about ourselves, we're obviously an incredibly strong home for this type of risk. We're regulated, obviously, in the US. We've got a US vehicle. You know, double A minus rating, life and health focus, and so on and so forth. So to answer your question, we're really not seeing any current evidence of impact on the pipeline. It's such a strong compelling case as to why pension funds would de-risk in this manner. And to be honest, we won a transaction just a couple of days ago. So it is showing that at least, you know, obviously, with this news out, it hasn't impacted at least evidence of that transaction hasn't impacted our ability to be viewed as a very strong counterparty.
Operator: Thank you. The next question comes from Elyse Greenspan with Wells Fargo. Please go ahead.
Elyse Greenspan: Hi. Thanks. My first question, on the 2025, like, the earnings guide that you guys provided, are you assuming for FX? And also, are you assuming any additional in-force actions in the guide?
Axel Andre: Thank you for the question. So for FX actually, we've assumed basically year-end exchange rates. Interestingly, you know, there was a large movement in large strengthening of the dollar essentially in the fourth quarter. So if we were to use the beginning of the year, beginning of 2024 FX rates or even the beginning of the quarter, the earnings run rate probably would have been higher by about $40 to $50 million, so it does have an impact. And then second, in terms of in-force actions, the current run rates incorporate really a very modest level of in-force actions I would say, no more than $50 million or so. Which means that there's a potential to have more than that. But as we've mentioned before, in-force actions are difficult to predict. They can be lumpy. They can be, again, difficult to predict. If we go back and look at 2023, we had about $75 million in total of in-force action. 2024, about $250 million but in 2023, most of that action happened in the first quarter and we had four consecutive quarters with almost zero dollar impact from in-force actions. So it kind of gives you a flavor of how unpredictable and, again, lumpy, those can be.
Tony Cheng: Yeah. And, Alex, maybe if you don't mind, I'd just say share a broader strategic view of all of that. I mean, as Axel said, you know, characterize it as lumpy, but it is very much part of our strategy because it uses all the real strength of RGA, our tech ability, our partnership mentality, our holistic view, our global platform, all of these have aided historically in really finding creative solutions for these situations that and we're pretty patient with it. But, ultimately, a lot of times, we go through these conversations with our clients and we end up with even further new business, which is sort of a reflection of how they felt we dealt with the situation.
Elyse Greenspan: Thanks. And then my second question, you know, is on deployable capital. I guess, a follow-up there. Right? You know, you guys have been pretty active over the past year. Right? So using capital for transactions, right, and not buying back stock. As you launch this new definition, do you think the deal flow is enough to utilize the deployable capital or, you know, you expect as you think out, it's a twelve-month figure that will be some level of buyback, you know, in 2025.
Axel Andre: Yep. The pipeline continues to be very robust, you know, very pleased with that. And so as you know, assuming that continues to be the case, we will have use for all of that deployable capital. And therefore, would expect to be minimal in terms of the amount of share buyback for the foreseeable future.
Operator: Thank you. The next question comes from Jimmy Bhullar with JPMorgan. Please go ahead.
Jimmy Bhullar: First is a question for Tony. If we look at your biometric experience, it's been generally favorable fairly consistently over the past several quarters. Do you think that just normal sort of aberration and volatility and mortality, morbidity, that going in the right direction? Or are there any sort of underlying dynamics that might be driving the consistently favorable experience?
Tony Cheng: Yeah. Thanks, Jimmy, for that question. And Jonathan, please add on top afterwards. But look, my view as you rightly pointed out, you know, over a one to two-year period, you get a better look at experience versus a quarter to quarter, which we all know will fluctuate. Even one to two years is still a relatively short period of time to look at experience. Is there any fundamental changes underlying, you know, and, you know, look, we've always viewed mortality and biometric risk as a very long-term proposition. You know, in the last two years, could it be some, you know, pull forward from COVID? You know, we don't ex it can't be the other direction. It's just hard to put a number on that, but it definitely, you know, it would be a favorable impact, one would think. But, Jonathan, please share further views and maybe some of the long-term drivers that we're more focused on.
Jonathan Porter: Yeah. Sure, Tony. Happy to. I would point to, I guess, population experience and what we're seeing. So, you know, kind of post-COVID results, we are continuing to see declines in the trends of the excess mortality in the general population. So for example, in the US, in 2024, we're estimating excess mortality relative to pre-pandemic was just over 1%, and that was down from about 3.5% in 2023. So I'd say those trends are generally favorable. They vary a bit from country to country, but that gives you a sense of some of the tailwinds we're seeing from a mortality perspective. And then as Tony mentioned, you know, we are looking at continuing technological and medical improvements, I mean, the one we've talked about at Investor Day and on prior calls, relates to anti-obesity medication. You know, still examining clinical data and output and looking at those results. But, you know, we generally remain optimistic that that will be a tailwind for us over the longer-term horizon as well.
Jimmy Bhullar: Okay. And then just on growth potential, there's a lot of sort of debate over the deal pipeline and supply demand and competition. But just wondering if you could talk about your appetite for long-term care. You did do one deal, and that's one of the markets where there's arguably a lot more supply of potential business than there's been demand in the past. But what's your interest in LTC either as a standalone risk or packaged with other types of business?
Tony Cheng: Thank you for the question, Jimmy. Look, firstly, I don't want to put strict criteria, but historically, you know, what we've done and you can see in the transaction we just completed. Look, we're very focused on it being in line with our current in-force block business, which has performed historically very well, I think now for over a decade. It's business that we were very patient. In the long-term care market, it's historically, we did not enter until the characteristics of those newer vintages arose and we thought, okay. This is something we feel comfortable pricing and managing that risk. So first and foremost, look at we're looking at is it in line with what we've done? We've got the experience. Doesn't mean we wouldn't consider other things, but that is obviously something that we're comfortable with. Secondly, it has to be a strategic transaction. Right? And as you've seen in most of the transactions, if not all have been in conjunction with other blocks of business, obviously, in this case, it was also with a structured settlement block, but with a very important strategic client. So we obviously contemplate risk-return trade-off of a transaction, but also the strategic impact. Thirdly, you know, I would say we would be looking no bigger than modest-sized blocks of business. But, you know, we've got, as you can see, plenty of opportunities around the world. This is a risk that does, you know, to some extent, diversify our balance sheet even though it is a small risk that we have, relatively speaking. But, you know, we wouldn't we would at this point be looking only at modest-sized blocks of business as we have done historically.
Operator: Thank you. The next question comes from Tom Gallagher with Evercore. Please go ahead.
Tom Gallagher: Good morning. One wanted to come back to a question Ryan asked just on the $1.7 billion of capital deployed in 2024. Do the updated run rate ranges in your guide assume that you deploy $1.7 billion again in 2025? Or if not, what is that number? Because that I think that's a huge swing factor. In terms of what are you trying to convey in these run rates. Thanks.
Axel Andre: Sure. Thanks for the question. Yeah. I think in order to get to those growth rates, so from 2025 onwards, a level of capital deployment of, you know, call it about $1.5 billion, maybe up to $2 billion would be, you know, would be the amount that delivers those growth rates. So given the pipeline, given our track record of 2024 and the ability to accelerate relative to 2023, we feel pretty good about those odds.
Tony Cheng: And, Tom, maybe if I could add. Obviously, the volume of capital is an important determinant. The reason we spend so much time sharing about the strategic platform, the position we feel the strong position we feel we're in, is obviously the return on the capital we deploy in these transactions. And we're so focused on creating win-wins with our client because then, obviously, creates greater value for the two parties to share. So, you know, that's the drive towards the creation, retype business. As I mentioned in my comments, that has, for the last two years, now exceeded over the majority. So over 50% of our total value creation is coming from this line of business. It's very much the culture we're driving, and we're very pleased with the success of executing that strategy.
Tom Gallagher: Gotcha. That's helpful color. And then my follow-up is just the big reduction in US Financial Solutions. I heard the commentary there about the runoff of some, I guess, profitable annuity business. And then it sounds like there's a bit of a timing disconnect here where you had old profitable business that ran off, you put a lot of PRT in other business that has not yet fully earned in. And so if that's the right way to think about this, are you still only gonna grow that segment 4% to 7%? Or will we have a bigger ramp-up than that 4% to 7% implies?
Axel Andre: Yep. So thanks for the question. Yeah. So that's right. So if you think of the makeup of that block of that segment, US Financial Solutions in the past, you know, old annuity blocks, you know, this kind of how we've built that partly how we've built that asset-intensive business over the years, and it's kind of switched as we entered the US PRT market into more of a PRT focus. Those pure annuity deals are obviously heavily competed and don't include a lot of biometric risks, so they're not necessarily such a great strategic fit going forward in terms of replacing that business that's running off. That's one dynamic. And then the other dynamic, which you pointed out, is that with the PRT blocks, we are taking in a portfolio of assets as well, and we are repositioning that takes a bit of time to get that repositioning done and flowing. And so that's also the reason why we took that run rate down. From this point onwards, we feel very confident about the ability to hit those run rates and those growth rates given our pipeline and given the types of businesses we're adding in.
Operator: Thank you. The next question comes from Alex Scott with Barclays. Please go ahead.
Alex Scott: Hey. Good morning. Had a follow-up to Tom's follow-up on Ryan's question. So when you talk about it is, you know, your run rate is assumed deployment of call between $1.5 billion and $2 billion. Does that assume drawing down some of that $1.7 billion of deployable capital? And the reason I ask, I think you know, you guys have earned call plus or minus $1.5 billion. So it's in excess of that, we were assuming then, you know, it assumes some drawdown of that. And I just, you know, as we analyze that deployable capital and think about accretion associated with the deployment, I just wanna make sure I'm not giving double credit or something.
Axel Andre: Yep. Sure. Thank you for the question. So yeah. So how do we fund that pipeline? So yes. So starting from deployable capital, so excess capital and the expectation over the next twelve months of the net of the capital generation versus the capital consumption. That's the first place we go to as we evaluate given our pipeline how we're gonna fund those deals. We also, I wanna remind, that as part of that deployable capital metric, we are taking into account third-party capital that we have access to, so such as the amount of capital that's left to be deployed from Ruby Re. I think I mentioned from the rating agency capital component of that framework, the embedded value securitization that we can put into that source of available capital. And then lastly, you know, as part of the other tools in the toolkit, of course, we have, you know, traditional debt, public market debt, senior hybrids, as well, of course, as public equity. We consider all of those tools as part of our toolkit and make decisions based on their relative pros and cons and factored circumstances.
Alex Scott: Got it. Really helpful. Second question I have for you is on, you know, just $1.7 billion. And as you think about deploying it, and you look at these deals, I mean, it seems like your capital model gives more credit for diversification now. So the extent you're looking at longevity-based deals, would that sort of significantly change at all the amount of required capital that goes into those deals? I mean, we sort of all have our rules with them, but we think of, like, 5%, 6%, 7% of liabilities and assets in terms of, like, the capital that's gotta go behind these deals. But that might actually be lower based on this model maybe diversification benefit and being overweight mortality risk?
Axel Andre: Yeah. Thanks for the question. So we still obviously very much more long mortality than we are longevity. So there's plenty of runway to go in terms of benefiting from that diversification benefit. The diversification is really best recognized through our internal economic capital framework. Rating agency models or regulatory models will have typically different views. Sometimes no recognition of diversification. But our approach to that is consistent. It's been consistent for a while. And so I would not, you know, it's not a change of approach. This is the continuation of what we've done. It's just a refinement of the metric, the deployable metric, as I mentioned, to really reflect not only where are we today point in time, but given what we can see, what we can forecast over the next twelve months, how much capacity do we have to sustain that business momentum?
Alex Scott: Thank you.
Operator: The next question comes from Suneet Kamath with Jefferies. Please go ahead.
Suneet Kamath: Hey. Thanks. Good morning. I wanted to come back to the deployable capital just so I can understand this a little bit better. So I was hoping to try to bridge to the $700 million of excess capital that you gave us last quarter. And so is the right way to think about it, you had the $700 million, you deployed $250 million, I guess, in this quarter, so that would get you down to $450 million. And then the difference between the $450 million and the $1.7 billion is sort of the capital that you expect you'll generate plus the flexibility in these securitizations and all the rest of that stuff. Is that the right way to think about it?
Axel Andre: At a high level, yes. That's a decent way of thinking about it. The starting excess capital metric, though, as I mentioned last quarter, reflected a was relatively conservative in that it didn't necessarily reflect the value of the in-force that we already get recognition from the rating agencies on. But, yeah, conceptually, you're correct. That's how we think about it.
Suneet Kamath: Okay. And then as we just think about the deployment opportunities, I mean, one of them that a lot of folks have talked about is the ESR change in Japan and just, you know, how that's gonna create this sort of windfall of deals. Just curious, like, where are we in that opportunity, is it happening now, or is it, you know, over the next year or so, or are we thinking about maybe even longer than that? Just wanna get a sense of how big a deployment opportunity that is for you. Thanks.
Tony Cheng: Thanks, Suneet. Look. I think we're still in the early innings for a couple of reasons. And look, you know, is it happening now? Well, definitely for us, it's happening, and it's been a very thriving area of business for us, particularly the area of where more biometric risk overlaps with asset risk, our sweet spot. But, you know, for a couple of reasons, it is still relatively early because, obviously, as increasingly a player does these types of transactions, then others follow. So we're, you know, that's been happening probably for the last five years. But people continue to follow. And secondly, when someone starts doing this, they don't do it all in one go. They do it in tranches over, gosh, it could be ten, fifteen years. They just do, you know, it's a bit like dollar cost averaging. They just do tranche by tranche by tranche. So I think we did our first tranche of a client, I think, probably now about eight years ago, and they continue to launch tranches every year. So given those factors, I'd still say it's relatively early in the situation.
Operator: Thank you. This concludes our question and answer session. I would now like to turn the call back over to Tony Cheng for closing remarks.
Tony Cheng: Thank you all for your questions and your continued strong interest in RGA. This was a good quarter and a phenomenally great year, further demonstrating our continued momentum and substantial earnings power. Thank you very much. This concludes our fourth quarter call.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your line.